Operator: Good afternoon, and welcome to indie Semiconductor's Fourth Quarter and Year-end 2021 Earnings Call. This call is being recorded.  At this time, I will turn the call over to Pilar Barrigas, Head of Global Corporate Communications for indie. Ms. Barrigas, please go ahead.
Pilar Barrigas: Thank you, operator. Good afternoon, everyone, and welcome to indie Semiconductor's Fourth Quarter and 2021 Year-end Earnings Call. Joining me today are Donald McClymont, indie's Co-Founder and CEO; and Tom Schiller, indie's CFO and EVP of Strategy. Donald will provide opening remarks and discuss business highlights, followed by Tom's review of indie's fourth quarter and 2021 full year results as well as our first quarter 2022 outlook. Please note that we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative about views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect our financial results, please refer to our risk factors in our recent registration statement on Form S-1 and our other public reports filed with the SEC.  Additionally, the results and guidance discussed today are based on certain non-GAAP financial measures. For a complete reconciliation to GAAP, please see our Q4 earnings press release, which was issued in advance of this call and can be found on our website at indiesemi.com.  Finally, as an emerging growth company, our final 2021 results are not due to be filed with the SEC until March 31. In the meantime, we are providing this preliminary business update and outlook in the interest of keeping our investors abreast of indie's performance.  With that, I'll turn the call over to Donald.
Donald McClymont: Thanks, Pilar, and welcome, everybody. I'm pleased to report that indie delivered another record quarter in Q4 and in turn, an outstanding year. Despite global capacity constraints, we are successfully navigating a still challenging supply chain environment and executing operationally to meet increasing customer demand for our highly innovative Autotech solutions. Our outperformance is a true testament to the strength of the indie team, our differentiated product portfolio and underlying IP as well as the powerful automotive megatrends fueling the need for the next-generation ADAS, user experience and electrification solutions.  Specifically, during the fourth quarter, we substantially outpaced our addressable markets, and grew revenue to a record $19 million. We expanded gross margin by more than 1,000 basis points year-over-year and over 300 basis points sequentially. We gained design win traction across a number of new products and customers and significantly augmented our LiDAR and radar portfolios via organic development and key acquisitions.  From a full year 2021 perspective, we delivered a record $48 million in revenue, more than doubling of 2020's top line. We improved gross margin by over 100 basis points to above 43%, significantly increased our R&D investments in strategic product areas, implemented critical public company infrastructure pre- and post- our June IPO. And perhaps most importantly, given our strong balance sheet and expanding sensor modality capabilities, we captured several major design wins with leading customers.  The impact of these efforts are not to be understated and are positioning indie to become the premier supplier of embedded mixed signal solutions for user experience and full system offerings spanning LiDAR, radar, ultrasounds and vision precisely as the automotive industry increases its demands for these complex solutions. indie's advanced Autotech solutions directly answer the performance and integration challenges faced by automotive Tier 1s and car OEMs today, and we'll continue to exceed next-generation vehicle requirements as complexity increases.  Simply put, as the degree of self-driving increases, the number of sensors will grow exponentially. More high-end, embedded processors will be required to enhance safety as well as the driver and passenger experience. And given our advanced digital architectures, high-speed mixed signal, DSP, power management and connectivity technologies, these strategic dynamics bode well for indie and will translate into greater content per vehicle for us.  In fact, at the core of today's vehicles are hundreds of semiconductors, sensing surroundings, making real-time decisions and controlling the vehicle system operation. Accordingly, the average semiconductor content per car is expected to grow from roughly $500 per day to over $4,000 over the coming decade.  To that end, during the quarter, we expanded production of advanced interior lighting solutions to support multiple new OEM customers; captured onboard telematics design wins at IOSiX, a fleet information services provider; commenced shipments of exterior lighting products with a leading German OEM; were awarded a vehicle security system program with a European Tier 1 supplier; unveiled Surya, a highly integrated LiDAR SoC augmented by TeraXion's world-class laser and sensing solutions.  Until now, LiDAR systems have not met the cost targets given the high price points for discrete implementations. We believe Surya represents a breakthrough in achieving the cost requirements while providing outstanding performance. At the same time, our acquisition of Analog Devices' Symeo radar division last month is accelerating indie's entry into the large and growing automotive radar market, which is expected to reach a TAM of $7.6 billion by 2026.  Symeo's industry-leading software and system technologies, underpinned by 120 radar-related global patents and applications, enables real-time position detection and velocity measurement for high-precision radar solutions. Further, our acquisition of ON Semi's highly skilled radar design engineers in Israel brings us strong domain experience in millimeter wave technologies, along with 65 radar patents and applications. Merging the ADI and ON Semi teams with incredibly strong and complementary expertise under the indie umbrella has significantly expanded our capabilities in the radar field.  As a direct result of these twin acquisitions, I'm pleased to report that we've recently entered into a strategic development agreement with 1 of the top 4 global automotive radar suppliers in the world. This program has the potential to be one of the single largest design wins in indie's history and validates our organic radar investments and recent acquisitions. We fully expect similar milestone wins in the near future as we leverage technologies coming across LiDAR, radar, vision and ultrasound applications.  In summary, indie is now even better positioned to capitalize on the Autotech opportunity as automakers make large-scale investments in next-generation vehicles that will usher in increased safety features and enhance the user experience towards ubiquitous electrification and autonomy.  I will now turn the call over to Tom for a discussion of our Q4 and 2021 results and Q1 outlook.
Thomas Schiller: Thanks, Donald. indie delivered strong fourth quarter results, once again exceeding our guidance and analyst expectations. Revenue was up 185% year-over-year and 56% sequentially to a record $19 million, ahead of our guidance for 50% sequential growth, driven by ADAS, user experience and electrification demand as well as the addition of a stub period of TeraXion. Gross profit was $8.8 million, translating into a 46.3% gross margin, up 1,090 basis points year-over-year and 330 basis points sequentially, while 130 basis points better than our guidance.  Operating expenses were on forecast at $21.4 million, up from $16.8 million in the prior quarter as we increased our R&D investments to $15.6 million to accelerate product development. Likewise, we increased our SG&A spending to $5.8 million to expand our marketing capabilities and implement additional public company infrastructure. As a result, our operating loss was $12.7 million and ahead of analyst consensus estimates. Interest, other expenses and taxes were $50,000, yielding a net loss of $12.7 million and loss per share of $0.09 on a base of 146.8 million shares.  Turning to the balance sheet. Post our operating loss, working capital investments and acquisition expenditures, we exited Q4 with $219 million in cash with limited debt. For the full year, revenue more than doubled to a record $48.4 million with 2021 gross margin expanding to 43.7%, a 140 basis point improvement over the prior year. Achieving this level of performance was all the more remarkable in light of a challenging global supply chain environment.  Entering 2022, given new program ramps this quarter and throughout the year, we intend to demonstrably and sustainably outperform our addressable markets and drive further gross margin expansion. Specifically, for the first quarter of 2022, we anticipate revenue to be up 160% to 170% year-over-year and in the range of $21 million to $22 million, putting indie on pace for another record quarter and a stellar 2022. In fact, with this guidance, indie is already on a roughly $86 million annualized revenue run rate and is tracking to deliver well over $100 million in total revenue in 2022.  For Q1, at the midpoint of our revenue guidance range, we plan to further expand gross margin to 47% with $27 million in operating expenses comprised of $21 million in R&D and $6 million in SG&A as we increase our product development investments in response to the pent-up customer demand, particularly in radar, and extend our sales and marketing reach globally. Accordingly, assuming no other net expense or taxes below the line and approximately 148 million shares outstanding, we expect a net loss of $0.11 per share.  Further, and most importantly, indie is poised to capitalize on the strategic Autotech market and translate our design win momentum into long-term shareholder value. With strengthening order visibility, demonstrated scalability and planned operating leverage, we are well on our way to reaching profitability in the back half of next year and realizing our long-term targets of 60% gross and 30% operating margins by 2025.  On that note, I'll turn it back to Donald for his closing comments.
Donald McClymont: Thanks, Tom. To summarize, the rapid emergence of user experience, semi-autonomous and ultimately fully self-driving vehicles in addition to electrification are creating enormous opportunities for the Autotech landscape and indie in particular as these applications require highly integrated semiconductor and embedded software technologies. Keep in mind, indie is riding a powerful multiyear tailwind as the global automotive semiconductor TAM is expected to grow from $36 billion last year to $62 billion by 2026.  The transport experience is changing for both drivers and passengers as enhanced safety and better in-cabin features are deployed. And as OEMs announce worldwide e-vehicle investments over the next 5 years that will exceed $250 billion, in some cases, committing to shift their entire car portfolio to electric within the next 15 years. indie's disruptive technologies are helping to empower this Autotech revolution and are enabling us to outpace the growth of the market. I couldn't be more thrilled about how indie's differentiated semiconductor, sensor and software technologies are driving the next wave of the automotive industry innovation.  That concludes our prepared remarks. Operator, let's open the call for Q&A.
Operator: [Operator Instructions]. And your first question comes from the line of Anthony Stoss with Craig-Hallum.
Anthony Stoss: Nice results. I think in the past, you've given strategic backlog number, kind of a cumulative. Can you update us on that? And then also, Donald, I'd love to hear any other -- more detail, I guess, on design win activity. Then I had a follow-up for Tom.
Donald McClymont: So as we've mentioned before, we don't intend to regularly update strategic backlog, at least not every quarter. In the light of the design wins that we have announced as part of the comments here, which you heard, we have made some extremely significant progress. Particularly, I would single out the radar design win, which is a very significant material addition to the company. But we're not actually going to quantify the change to the strategic backlog today.
Anthony Stoss: Okay. Got it. And I guess a two-part follow-up then. What -- when will this new strategic relationship commence revenue-wise for indie and, I guess, kind of the trajectory of getting that going? And then the supply chain impact, Tom, if you wouldn't mind, if you had a guess how much it impacted December revenues and the March guide.
Donald McClymont: Well, in terms of the new design wins, of course, it's automotive, so what we win in this year won't hit volume revenue until 2025 or so. In terms of the supply chain, we managed it pretty well, I would say. We kept our customers supplied, and we managed to make sure that we weren't the long pole in anybody's tent. Probably we could have shipped a little bit more as these guys would love to have some inventory in their channel, which they still currently don't. But I probably wouldn't actually put a number on exactly what the difference was between what we could have and what we did.
Operator: Our next question comes from the line of Ross Seymore with Deutsche Bank.
Ross Seymore: Congrats. I wanted to see if, Donald, you'd go in a little more detail about the strategic radar engagement that you have. Obviously, you're not going to name specific companies and customers, et cetera, or numbers, but what led to that? What was the appeal that you had? I know you did some things organically and inorganically, but just a little bit of color about how that came about and what's the special sauce you're bringing to that customer.
Donald McClymont: Well, first, let me talk about the significance of it. I mean I can't underline it enough, it's a huge milestone for us as a company. It's a very binding contract on both sides. The thing that brought us together really was the technology that we were able to bring, which was very differentiated in terms of cost, performance, power consumption versus the incumbents.  The customers themselves, they are one of the significant market shareholders out there at the moment. Our expectation is that we will take a very significant, large portion of their addressable market, and it's a large dollar content per car for us. So it's going to be pretty significant.
Ross Seymore: Thank you for that color and I realize it's sensitive to talk about all the details. One for Tom. The gross margin surprised sequentially versus your guide. It looks like it's going up again in the March quarter on your guide. What's driving that?
Thomas Schiller: Sure. So a few factors. One, just the quality of mix. And then also, as we've talked about in the past, the move from first to second to third generation products and then operational scale. All those factors are contributing to gross margin expansion, and one of the key reasons we have such confidence in the outer year 60% target.
Operator: Our next question comes from the line of Suji Desilva with ROTH Capital.
Suji Desilva: Congratulations on the progress here. I'm curious when you mentioned things like advanced lighting systems or perhaps even more vehicle security systems, those sound more like system-level wins versus product wins, like vision, ultrasound, radar. Donald, can you just clarify if that's -- the difference is meaningful or not? And help me understand what the implications are for your level of interaction with the customers.
Donald McClymont: No, no. There's no difference. We'll still provide -- we're still providing semiconductor components with embedded software. So the business model is the same.
Suji Desilva: Okay. Fair enough. And then I was curious, the fleet market, you mentioned a win there or a win with a -- I guess, a content -- a technology provider into the fleet market. Is that market meaningfully different from the passenger car market for you? Will it come sooner perhaps? Any color there would be helpful.
Donald McClymont: Yes, that's true. It does actually have a shorter time to market than traditionally designing into some new model year, which will happen a few years in the future. Typically, the electronics are supplied by our customer, our aftermarket. So it's still in the car business, but the time to market is a little faster.
Operator: Our next question comes from the line of Craig Ellis with B. Riley Securities.
Craig Ellis: I just wanted to follow up to start with a clarification for Tom. Tom, can you quantify the revenue contribution from TeraXion in the quarter and what you're assuming in the outlook?
Thomas Schiller: Yes. On that, Craig, we're actually not segmenting the business. But suffice to say, at least last quarter, both the classic indie business and TeraXion for that matter were ahead of plan, and that helped deliver upside. Beyond that, we just don't plan to subsegment the business and our guidance going forward.
Craig Ellis: Yes, I didn't expect it long term. I was hoping to get some of the color you provided. And then Donald, I'll follow up on some of the other questions around the new strategic development agreement. So first, congratulations, given the significance of that accomplishment. The questions are these. One, can -- and admittedly, you can't give customer names. Can -- but can you provide any color on the potential for further end customer diversification? And I was hoping you could also provide some further color on the comments that there's pent-up demand out there in radar and your ability to address that pent-up demand as you engage with this new partner or other partners.
Donald McClymont: Well, in terms of does it give us access to new market, of course, because it's really our first entry into the radar market itself. So it's incremental versus our running business. In terms of the sell-through into OEMs, then yes, there will be some as a result of this relationship, who we haven't accessed in the past. So it does give us, let's say, an incremental increase in our TAM.  In terms of the significance of the business itself, again, if you consider the amount of sensors that are being deployed per car, if you just sort of pick a number of 80 million cars in a normal year, manufacturer, they have up to 4 radar sensors. There were a limited number of vendors who were able to provide the technologies, which were required in that market. It is an aggressive investment in order to deploy that. But we felt and our customer felt and the market felt in general that there was a -- it was a requirement to have one new vendor introduced to a very limited subset of vendors and we won that prize.  Really, it represents -- in terms of the kind of size and order of magnitude of business that we can address, it really represents the first time I would say that indie, as a company, has actually been able to win one of the premium design wins in the automotive market at all.
Operator: Our final question comes from the line of David Williams with Benchmark Company.
David Williams: Congrats on the progress.
Thomas Schiller: Thanks.
David Williams: Yes. Just wanted to see if you could talk maybe a little bit about the vehicle security system program that you won with the European Tier 1. And maybe just what that ramp looks like? Any color around that opportunity, maybe anything around the specifics of the solution there?
Donald McClymont: Well, basically, it's a classic intruder detection, so stop the car getting stolen or broken into. It's a reasonably complex system. It's an area where we've been active for a long period of time in the company's history. But this actually really gives us access to a new market, a new set of customers in the end results. So it should be fairly reasonable incremental revenue stream for us going forward.  Probably we would decline to quantify it exactly at this point. But also, it's kind of congruent with the regular time frame of the car market. What we've won today will likely go to production in '25 or so.
David Williams: Okay. Fantastic. And then maybe just as you think about your pipeline, you have a robust, it seems like, a number of design wins across the different areas. How do you think about each segment over time in terms of the revenue contribution? And where do you see the greatest design win activity? And then maybe talk about your ability to scale up in terms of capacity to meet that demand that's forthcoming.
Donald McClymont: I mean growth is coming from all of our product areas at the moment. Historically, the user experience has been where the greater majority of our businesses come from. Where we see the largest medium-term demand is in the sensing space, so -- which we sometimes misname as ADAS, so -- and LiDAR, radar, vision and ultrasound. That's where we would expect to see, within our business, the growth outpace the rest of the business, I would say.  Electrification is kind of early doors for us, but we have a significant design win in that space, which we talked about, I guess, 2 quarters ago or maybe 1 quarter ago in the earnings.
Thomas Schiller: Last quarter.
Donald McClymont: Last quarter. Which is, I would say, kind of a vanguard of our drive into that market. But all of the segments will contribute pretty nicely to the overall company's top line.
Operator: Thank you. That concludes our Q&A session. I will now turn the call over to Mr. McClymont for closing remarks.
Donald McClymont: Well, thanks for joining us today, everybody. Looking forward to seeing you at the upcoming investor conferences and venues, and see you next quarter.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.